Operator: Good morning. My name is Ludy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold 2025 First Quarter Results. All lines, have been placed on-mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results, and future events could differ materially from those anticipated in such statements. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you, Mr. Watson. You may begin your conference.
Nolan Watson: Thank you, Ludy. Good morning, everyone, and thank you for calling into our Q1 earnings call. Morning I'm going to provide a brief business update about our capital allocation plans. Then I'm going to hand it over to Erfan, our CFO to discuss the specific financial results and then Dave Awram to provide additional updates. We're pleased to announce not only record quarterly revenue of US$50 million, but also operating cash flow of over US$40 million. Our business just keeps getting stronger and stronger and it feels good to be Sandstorm these days. Sandstorm is a growth story and we're maintaining our long-term outlook of our production doubling by 2030 and therefore we expect significantly more quarterly free cash flow in the years to come. Over the past couple of months there have been two very significant updates that are happening with our key development assets, being MARA and Hod Maden, specifically during Q1 SSR announced that they are spending up to a $100 million in 2025 on Hod Maden CapEx for long lead items such as tunnels, roads, and early site earthworks. It's been a long time coming, but it feels great to see this project moving forward with boots and equipment on the ground. Also recently, Glencore CEO publicly stated that they anticipate having the RIGI applications for the MARA project officially submitted shortly. I believe over time MARA will become Sandstorm's most valuable asset and it will be a nice anchor asset within our portfolio. When we look at our new cash flow projections at various gold prices both this year and in 2030, you can see that we're anticipating our cash flow generated by our portfolio on an after-tax basis to be over US$300 million per year. And that's at $3,200 gold prices. We used to show $3,200 gold prices as an upside scenario, but here we are at $3,400 gold prices. The portfolio is generating a lot of cash flow now and it's going to be generating dramatically more cash flow over the next several years. You can see why we have been so keen to buy back our own shares. Late last year when we started purchasing our own shares on the market, we were able to buy nearly 2 million shares at an average price of US$5.51 per share. During Q1 of 2025, we purchased over 3 million shares at an average price of US$6.21 per share and we have canceled all of those shares. Today we sit here with a share price closer to US$9 per share. So I think those share repurchases were the most intelligent way we could have allocated capital. During Q1, we were also able to repay $15 million of debt and we ended the quarter with $340 million of debt and subsequent to quarter end we repaid another $12 million of debt. Now our debt is down to $328 million and dropping rapidly. We have been sticking to our plan of recharging our balance sheet, shrinking our share flow, and that plan is going very, very well. So this is a bit of a shorter than normal update for me, but the Sandstorm form story is a more simple than ever to explain. So with that, I'm going to hand it over to Erfan to talk about the specific financial results.
Erfan Kazemi: Thanks Nolan. Good morning, everyone, and thank you for joining us today. We've had a strong start to the year in terms of financial and operational performance, and I'd like to walk through some of the highlights this morning. We reported record revenue of $50.1 million for the quarter supported by strong gold market in the first three months. Additionally, Sandstorm received a payment of $4 million related to Vatukoula Gold Stream, bringing our total sales royalties and income from other interests to $54.1 million. Production from our stream and royalty portfolio was just shy of 18,500 attributable gold equivalent ounces, which was below the 20,300 ounces sold in the first quarter of last year. In part, their year-over-year decrease in geos was driven by the timing of sales of ounces received in the fourth quarter of 2023 and sold in the first quarter of 2024, as well as the outperformance of gold relative to the other commodities in our asset mix. As we've discussed on previous quarterly calls, our gold prices can result in lower gold equivalent production as non-gold revenue from our copper and silver streams convert to fewer gold equivalent ounces. However, the combination of record revenue and record cash operating margins resulted in strong cash flows. During the first quarter, Sandstorm recognized average cash margins of over $2,500 for gold equivalent ounce for approximately 87% cash margins on each ounce sold. As a result, operating cash flows excluding changes in non-cash working capital were $40.8 million. Nolan discussed, we allocated a significant amount of capital towards share buybacks in the first three months of the year. When combined with a quarterly cash dividend, I'm pleased to report that Sandstorm returned over US$23 million to shareholders in the first three months for approximately 57% of operating cash flows. We also continued our progress on deleveraging the balance sheet, making net payments of $15 million during the quarter, an additional $12 million subsequent quarter end. And as Nolan mentioned, our revolving credit facility with $328 million drawn as of yesterday. Cost of sales and depletion were largely in line with the production levels and we ended the quarter with $11.3 million in net income or $0.04 a share. Turning to the next slide, we can see a bit more detail in terms of the top assets contributing to production in Q1. Attributable production from Chapada Copper mine increased on a year-over-year basis supported by higher commodity prices and an increase in copper pounds sold. Sandstorm received additional copper deliveries in the first quarter as part of the true-up mechanism under the Chapada Stream agreement. Lundin Mining has planned to invest in a 20,000 meter drilling program in 2025 with a goal of growing resources at Chapada, drills expecting an updated resource estimate and technical report incorporating the suave deposit by the end of the year. Production continues to ramp up with the Greenstone Gold Mine where Sandstorm received and sold nearly 1,300 gold ounces in the first quarter. Equinox Gold remains focused on wrapping up production to full capacity and expects the processing plan to achieve design recovery rates by mid-year following various optimization improvement efforts. At Bonikro Attributable Gold sales were lower year-over-year as a result of atypical inventories at the end of 2023, which were sold in the first quarter of 2024. Allied Gold is forecasting production in 2025 to be weighted toward the second half in part, as a result of improvements to feed grace at the mine. Additionally, we're expecting that between 5% and 10% of Allied guided production of Agbaou will reflect toll treated monochrome material that is covered by the Sandstorm Gold Stream. Allied recently closed an $80 million Canadian financing to fund its optimization and growth initiative, including exploration and technical studies aimed at extending the mine life at its Côte d'Ivoire assets, including the Bonikro Gold mine. Following a record year of production in 2024, Lundin Gold reported a year-over-year increase in gold production at Fruta del Norte in the first quarter. Strategic mine sequencing and positive grade reconciliation attributed higher mill head grade in the first quarter, which Lundin Gold expects to continue throughout the first half of this year. Looking forward to the rest of the year, we continue anticipate progress from Ivanhoe Mines at their Platreef mine, which expect to commence production in the latter half of the year. We also expect Vale’s Southeastern system to begin contributing to the Vale royalties by mid-year once the cumulative sales threshold has been met. Gold equipment production in the first quarter continues to be largely attributed to mines located in South America accounting for nearly 50% of geo sold. We expect production from North American mines to increase as Greenstone ramps up throughout 2025. Nearly three quarters of production came from precious metals in Q1, while the remaining 27% was largely attributable to copper assets. We maintain our guidance forecast for 2025 where we expect production to be between 65,000 to 80,000 attributable gold equivalent ounces. As previously disclosed this guidance considers a range of commodity price scenarios and a phased up ramp up at Greenstone. As I mentioned, the company's production guidance is sensitive to changes in relative commodity prices. For 2025 a plus or minus 10% change in both copper and silver prices relative to gold price is expect to impact attributable gold equivalent production by approximately 1,500 ounces. Long term we expect production to reach 150,000 ounces in 2030 based on the company's existing royalty and stream portfolio, plus the exercise of the MARA gold stream option. As I said, 2025 is off to a great start and we expect a strong gold market along with key assets ramping up and coming online to contribute, continue generating robust cash flow throughout the remainder of the year. And with that, I'll turn it over to Dave for some highlights from our portfolio. Dave.
Dave Awram: Great, thanks Erfan and good morning, everyone. We start off today on a topic I'm particularly proud of since starting Sandstorm. That is building a portfolio of mining projects that have an outstanding exploration and expansion upside potential. At Sandstorm, we've long held the concept that the greatest royalty deals in our space are the ones that have meaningful exploration upside with projects such as Oyu Tolgoi and Greenstone we feel very reassured that the best additional value for investors comes with the success of that drill bid. But it's not just the big producers in our portfolios that shine because we own 230 royalties and streams. And while not all of them are having exploration dollars spent on them, many of them are. And of course all that work is free to us. On Slide 12, you see a chart that we have used over the years to demonstrate how successful we've been at attaching Sandstorm to the projects that are getting huge amounts of work on them through drilling. This chart shows nine years, but goes back further with the same clear message. Sandstorm is receiving more than a $100 million of free drilling per year. It's not just drilling on projects without permits or years away from development either because as we look closer into the data, in 2024 alone of the almost 600,000 meters of total drilling, 320,000 meters occurred at producing assets. In fact, as in each of the previous years, much of the drilling is for expanding existing mine and translate quickly into resources and reserves. In many cases, those gold equivalent ounces are not just implemented into a life of mine plan, but actually mined or sold within years of discovery. Great examples of this are at Houndé and Fruta del Norte where incredibly successful drill programs on permanent ground has translated into production within year or two of drilling these new ore bodies or extensions of existing war bodies. Whenever this happens, that is definitive tangible value being provided to shareholders regardless of what discount rate one may use on those discovered ounces. Considering that information on this slide, and moving on to Slide 13, we see just how successful Sandstorm partners have been in their drilling of those tangible discovered gold equivalent ounces. Here, we have tracked down how many ounces discovered on ground where our royalties are and determined what can be attributable to Sandstorm. For each of the past seven years, there are two columns. The light column represents the total annual sales of ounces from Sandstorm. The darker gold columns represent the discovered attributable ounces to Sandstorm. As you can see on an annual basis, Sandstorm is doing better than replacing ounces sold. More precisely, there are no years that Sandstorm partners have not replaced mined gold equivalent ounces. Indeed, every year there is an attributable surplus and although variable over the last seven years, the average is almost 30% more ounces above and beyond the annual sales. This means our partners are adding value at a rate much higher than we are receiving, and the millions of dollars that invested by our partners to get to this point cost nothing to Sandstorm. I think a great way to understand this created value is to take our surplus ounces discovered in 2024. Based on our current Q1 realized gold price and per ounce margins 43,000 ounces discovered represents over $100 million in additional value to the company. That came to Sandstorm shareholders without spending anything for that upside, and that's just one year. The royalty model truly is a remarkable space to be in when your portfolio discovers as many ounces as Sandstorm does. Moving on to Hod Maden and just really building only slightly on what Nolan had to say. SSR has recently discussed more detail of what's being spent at Hod Maden and what is expected to be spent there over the next year. In 2024, it spent $42 million predominantly in early works and site access. So far this year, the spend has been over $12 million, which is part of a total 2025 spend of $60 million to $100 million, and primarily that will be advancement of site works, road access upgrades and additional underground tunneling works. Also, part of the spend though is exploration. Both in filling the inferred resources, but also looking for possible extension of the existing ore body and exploration of new targets in the mineral license. It really feels like momentum is building at the project, and we're hopeful that 2025 will have consistent news flow regarding its construction timeline. Moving on to Omai Gold Mines. Omai is a past producing project like Quetta and Guyana, and focusing on a significant gold deposit historical gold deposit. The site previously produced 3.7 million ounces of gold from two open-pits, Fennell and Wenot over a 13 year period, finishing in 2005, it had a peak annual production close to 350,000 ounces, making it one of South America's largest producing gold mines. Today Omai hosts two significant gold deposits in the remnants of the Wenot open pit target with an average grade of 1.48 grams per ton indicated, and 1.99 grams of bird plus an underground target at Gilt Creek, averaging 3.22 grams per ton. Combined there's a resource of greater than 4.3 million ounces. Judging by the subsequent holes in the balance of 2024 and the beginning of 2025 that resource looks destined to increase with holes that would not, that have grades of 16.35 grams per ton, over 10.5 meters below the existing resource and shallower hits along strike but out of the existing resource, adds, and in addition to additional more targets along stripe along the site, this could become a project desirable by the biggest gold miners in the world. Sandstorm has invested in Omai since 2020, and it is great to see a project like this start hitting their groove and reveal what seems like hidden value within the Sandstorm portfolio. I encourage you to continue to follow as they look to update their resource around mid-year and update their PEA later in 2025 to include the underground Gilt Creek target, in addition to expanding the resource at Winodd. So with that, I'm going to hand over the call to Ludy, the operator for a Q&A session. Please feel free to ask questions about any of our royalties streams. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Heiko Ihle with H.C. Wainwright.
Heiko Ihle: Hi everyone. Thanks for taking my questions. Hope everyone's doing well. You currently got a guidance of 65,000 to 80,000 ounces for the year. Obviously that includes the phase ramp-up at the Greenstone line. You got 1,269 ounces there in Q1. But can you just walk us through what you personally currently model for Q1, given the lower head grades that are expected at the site in the first half? And then maybe if you could even just sort of what numbers you're seeing by quarter.
Nolan Watson: Yeah, so we've assumed about, well, I'm going to be careful about what I say and what we've assumed. I just don't want to give public guidance different than what Equinox gives. But what I will say is, Q1 was a bit of an abnormality at Greenstone. It looks like that mine has turned a corner. We're seeing evidence that Q2’s going to be a lot stronger than Q1 and mine we're happy to have it in our portfolio.
Heiko Ihle: Fair enough. And just to cover one more thing, at Fruta del Norte there's obviously the plant expansion going on. I was in your asset handbook earlier today, but it didn't clarify. So just to confirm, the 0.9% NSR royalty is on the expanded plan. It's on the whole site, expanded plan capacity and everything you're going to get built in the future as well. Correct?
Nolan Watson: Correct.
Operator: [Operator Instructions] And presenters, we have no further questions at this time. I would like to turn it back to Mr. Watson for closing remarks.
Nolan Watson : Alright, well thanks everyone for calling into this call and as usual, we're around here. If anyone has any follow-up questions, feel free to phone us at the office. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.